Daniel Morris: Hello, everyone, and welcome to the presentation of Ericsson's Second Quarter 2025 results. With me here in the studio today are Börje Ekholm, our President and CEO; and Lars Sandstrom, our Chief Financial Officer. As usual, we'll have a short presentation followed by Q&A. And in order to ask a question, you'll need to join the conference by phone. Details can be found in today's earnings release and in the Investor Relations website. Please be advised that today's call is being recorded and that today's presentation may include forward-looking statements. These statements are based on our current expectations and certain planning assumptions, which are subject to risks and uncertainties. The actual results may differ materially due to factors mentioned in today's press release and discussed in this conference call. We encourage you to read about these risks and uncertainties in our earnings report as well as in our annual report. I'll now hand over the call to Börje and to Lars for their introductory comments.
E. Borje Ekholm: Thanks, Daniel, and good morning, everyone, and thanks for joining us today. So we delivered a solid Q2 with organic growth of 2% following the weak development the last few years and 3-year high in EBITA margin as we continue to demonstrate strong execution against both our operational and strategic priorities. Milestones included a fifth quarter in a row of positive EBITA in Cloud Software and Services. And we continue to have the solid execution in Networks with good gross margin. We returned to sequential growth in Global Communication platform following the market exits, and Aduna has now signed up all 3 operators in Japan. We achieved these results despite the fluid geopolitical and trade environment. And let me give you some key financial and strategic takeaways before Lars dives further into the numbers. So as I said, organic sales grew by 2%, with growth in market area Americas and in IPR and despite the temporary investment pause in India. We also saw increasing FX headwinds during the quarter, almost SEK 5 billion year-over-year. As I mentioned, we saw a strong development in our margins. Gross margin came in at 48%, and we delivered an EBITA margin of 13.2%. And importantly, the margin improvement was broad based across all segments. And we see here the cost actions we took during the last year, and it's now flowing through the P&L, and we continue, of course, to take actions to improve our cost base, and that should also provide benefits over time. While we expect the overall market environment or macroeconomic environment to remain in fluid or dynamic, we expect the RAN market will broadly be stable for the remainder of the year. For the RAN market to return to long-term growth, it remains clear that the industry needs new monetization opportunities. To that end, we continue to execute on our strategic initiatives to create new use cases for mobile networks. The first major use case is fixed wireless access, now has more than 160 million subscribers. And more interestingly, the Net Promoter Score is often higher than for fiber. So to take full advantage of 5G, operators need to transition to 5G stand-alone networks because that will enable differentiated connectivity solutions. And it is now encouraging to see customers with 5G SA coverage, actually offering service innovation like network slices for mission-critical applications. In addition to that, we see network APIs as one of the key monetization engines for the industry as well as for us. So far, revenues are small, but we see great interest in some initial API use cases such as fraud detection. In the quarter, our joint venture, Aduna, expanded to all 3 operators in Japan. And with that, we now cover major markets with Aduna. In parallel to executing on our strategic priorities, we're focusing on strengthening Ericsson to succeed across varying market conditions. And that, of course, includes discipline on pricing and cost. And this is, in this quarter, reflected in OpEx coming down from last year as a result of all the cost actions we have taken. And over the last year, we have reduced our total number of employees by about 6% or 6,000 while we had organic growth. And it's good now to see that actually coming through the numbers. And we see opportunities to further reduce costs following the structural actions like the combination of 3 market areas into 2, but we also see and expect big benefits from the use of AI. And that's one of the reasons why we expect restructuring costs to remain elevated during the year. I think AI could be one of the absolutely most important technologies we've ever seen. And for us, it's a key part in how we design and operate networks. So we're increasing our investments in the area. You might have seen this past quarter that we announced an AI factory consortium here in Sweden that will give us access to the latest chip and compute power. As we look ahead, AI will be a key driver for traffic in the networks as AI applications move to the edge, and we see that this will require 5G stand-alone to fully support these new type of use cases. So for example, we're talking low latency and guaranteed uplink performance. So this, for us, I would say, is really a fundamental area. So it's critical that we continue to lead in AI. So before moving on, let me comment quickly on the market development we saw in Q2. In market area Americas, sales increased by 10% year-over-year with good growth in North America, and that's, of course, encouraging as North America is often a front- runner market. Both Networks and Cloud Software and Services grew, benefiting from previous contract wins. The strength in North America was partly offset by lower sales in Latin America, where we continue to see intense competition from both the Eastern and Western vendors. Sales in Europe, Middle East and Africa declined by 1% year-over-year. In Europe, sales actually increased slightly, supported by network modernization. Europe is also a market where we see high competition from all vendors. We're confident in our competitive portfolio and technology leadership, so we remain commercially disciplined as we approach the market. In South East Asia, Australia, Oceania and India, sales decreased by 22% year-over-year. This was primarily due to the temporary pause in network investments in India related to specific market uncertainties. But South East Asia is also an area where we saw increased competition. Lastly, sales in North East Asia declined by 15%. This was due to reduced customer investments in some 5G front-runner markets. But in the quarter, we have made strong progress on our discussions with customers in the Japanese market. In line with this, we also announced, and I think you've seen, that we will set up an R&D center in Japan. With that, I would like to hand over to Lars to go through the financial details more in detail -- or the financials more in detail.
Lars Sandstrom: All right. Thank you, Börje. Let me start by giving some additional points to the group before discussing the segments. Net sales in Q2 totaled SEK 56.1 billion, with organic sales growing 2% year-on-year. Reported sales declined by 6%, with a currency impact of SEK 4.7 billion driven by the strengthening of the Swedish krona against U.S. dollar and other currencies. IPR revenue increased to SEK 4.9 billion in Q2 from SEK 3.2 billion in Q1. The increase mainly related to previously unlicensed periods. The run rate existing in Q2 -- or coming out of Q2 is around SEK 13 billion. The adjusted gross margin for Q2 came in at 48%, up from 43.9% in Q2 last year, and margin improvements were broad based across all segments, driven by IPR revenue, favorable product mix and cost-reduction initiatives. It's worth noting that gross income had a negative currency impact of SEK 2.4 billion. Compared to Q1, gross margin was slightly lower, mainly due to lower gross margin in Networks, which was expected and which I will cover later. Operating expenses, excluding restructuring charges, stood at SEK 20 billion, around SEK 3 billion lower than last year. About half of this reduction came from cost initiatives, and the rest is mainly currency. Even with the currency headwind of SEK 1.4 billion, adjusted EBITA went up by SEK 3.4 billion, reaching SEK 7.4 billion. This improvement was driven by lower operating expenses and higher gross income, bringing the EBITA margin to 13.2%. On the cash flow side, before M&A, we reported SEK 2.6 billion, which is down compared to last year. And last year's cash flow benefited significantly from reduction in operating working capital, thanks to the completion of large-scale rollout projects and substantially lower inventory levels. So let's move to the segments. In Networks, sales decreased by 5% year-on-year to SEK 35.7 billion, with a negative currency impact of SEK 3.1 billion. So organic sales increased by 3%. In market area Americas, organic sales showed good growth. Organic sales also grew slightly in the market area Europe, Middle East and Africa, and sales in the other market areas declined, with the most significant drop in India. IPR revenues also increased, supported by the settlement. The Networks adjusted gross margin came in at 49.5%, benefiting from IPR licensing revenue, cost-reduction initiatives and favorable market mix, partly offset by tariffs. Compared to Q1, margins declined somewhat in Q2 as expected. The positive impact from higher IPR licensing revenue was offset by less favorable market and product mix and, to some extent, tariffs. Networks adjusted EBITA increased by SEK 1.2 billion to SEK 6.5 billion despite a negative currency impact of SEK 1.3 billion. The EBITA margin improved significantly year-on-year, moving up to 18.2% from 13.9%. This was driven both by increased gross income and the lower operating expenses. Turning to segment Cloud and Software and Services. Sales declined by 5% year-on-year to SEK 14.4 billion, which include a negative currency impact of SEK 1 billion. On an organic basis, sales grew by 1%, with growth in market area Americas and IPR licensing partly offset by declines in the other market areas. Adjusted gross margin came in very strong in the quarter at 43.2%. This was a result of a favorable sales mix, with a higher share of software and increased IPR revenues, but also the continued focus on delivery performance and commercial discipline. Adjusted EBITA increased to SEK 1.4 billion, with a margin of 9.6%, supported by higher gross income and lower operating expenses and including a SEK 0.1 billion negative currency impact. In Enterprise, sales decreased by 14%, and organic sales were down 6%. Organic sales in Enterprise Wireless Solutions grew by 5%, benefiting from higher product and subscription sales in enterprise networking. And Global Communications platform declined by 9%, impacted by the decision taken last year to reduce activities in some countries. We expect Enterprise sales to stabilize during 2025 on an organic basis, excluding currency movements and the impact of iconectiv, which is expected to close during Q3. Adjusted gross margin increased to 54.9%. This was driven by the focus on more profitable market segments in Global Communications Platform and stronger product mix in Enterprise Wireless Solutions. Adjusted EBITA was minus SEK 0.5 billion. Turning to free cash flow, which was SEK 2.6 billion before M&A, broadly in line with the previous quarter. And operating cash flow was also similar to Q1 at SEK 4.1 billion, with the benefit of higher earnings broadly offset by changes in other operating net assets. Investing cash flow -- cash outflow was SEK 10.9 billion, reflecting investments in interest-bearing securities. And net cash decreased to SEK 2.6 billion -- by SEK 2.6 billion compared to the previous quarter. Dividend payments of SEK 4.8 billion more than offset the positive free cash flow in the quarter. So next, I will cover the outlook. Global uncertainty continues with potential for further tariff changes and broader macroeconomic factors like currency and trade flows. This can affect customer behaviors and investment decisions over time. With that in mind, turning then first to sales, we expect Networks Q3 to be below 3-year average seasonality, and this is mainly reflecting the mechanical impact of the higher IPR licensing revenue in Q2. In Cloud Software and Services, we expect sales growth to be similar to average 3-year seasonality in Q3. Both of these indications assume current exchange rates and no tariff changes. Next, Networks gross margin. We expect Networks gross margins to be in the range of 48% to 50% for Q3. And with that, I hand back to you, Börje.
E. Borje Ekholm: Thanks, Lars. So our Q2 results demonstrate solid execution of our strategic and operational priorities. We continue to strengthen our competitive position in mobile networks and expect the Enterprise to stabilize during the second half of 2025, following Global Communication Platform returning to sequential growth. It's encouraging to see continued momentum in our strategy. In our customer discussions, there continues to be strong interest in 5G stand-alone networks that provide differentiated connectivity. And we're seeing new use cases to monetize the network investments taking shape, FWA, defense, mission-critical, and we start to see different enterprise applications. And many enterprise use cases are now moving from proof of concepts into real industrial deployments. I would say this is exciting, but of course, it takes time to create these new markets. Ultimately, the exact timing of investment decisions will be in the hands of our customers, but we believe the mobile network market will remain broadly stable for the rest of the year. In this environment, we continue to invest in technology leadership while also structurally improving our business through rigorous cost management and by improving working capital. This way, we're positioning Ericsson to manage short-term market swings and drive margin expansion even in challenging markets. At the same time, we remain well positioned for the long term and to drive growth in our business. But before we turn to Q&A, I would really like to thank all my colleagues for their really hard work in making these results possible. With that, let's open up for Q&A. So over to you, Daniel.
Daniel Morris: Thanks, Börje. We'll now move to the Q&A section. [Operator Instructions] The first question today is going to come from Sandeep Deshpande at JPMorgan.
Sandeep Sudhir Deshpande: My question is about your guidance on the gross margin in the Networks business. You're guiding to a pretty robust gross margin into the next quarter. In the second quarter, you had some positive impacts from the Lenovo deal that you signed in the quarter. So are you expecting to sign more deals in the second quarter, which helps the margin? Or is the mix shifting because of some particular reasons? I'm trying to understand the dynamics in the gross margin in Networks in the second quarter -- in the third quarter.
Lars Sandstrom: Yes. When it comes to the margin outlook there, this is what we see when it comes to the product and market mix that we have at hand now coming into the quarter, and it's not related to IPR. It's more the underlying margins that we see coming into the quarter. So that is what we expect.
Sandeep Sudhir Deshpande: So are you saying also that India will remain weak in the third quarter, even though it was weak in the second quarter?
Lars Sandstrom: I think the pause that we saw now is temporary. When it will start coming back, that, I think, is difficult to say. So we don't have too high expectations already in Q3 for India.
E. Borje Ekholm: One thing that is not -- don't take this as an India comment. But the last few years, we've actually worked quite a lot on reducing the sensitivity on gross margin to different margins. And we're in a better shape today than ever before, which makes it a bit more also predictable in that sense. Then some markets may go up, some markets may go down.
Daniel Morris: Thanks, Sandeep. The next question is going to come from Sébastien Sztabowicz at Kepler Cheuvreux.
Sébastien Sztabowicz: On the OpEx, it was a little bit below expectation in the second quarter. How do you see the OpEx trending in the rest of the year or for the full year? Are you still forecasting a flattish OpEx for this year? Or there is a little bit of a downside to the OpEx level?
Lars Sandstrom: Yes. As you saw, the result of the activities we have taken over the last year is coming through in the OpEx here now in the second quarter. So that we are happy to see. It takes time before these activities really come through. When it comes to the outlook there, we see a similar level in OpEx in the first and the second half. Normally, we have a bit of a higher seasonality cost in the second half. So that is a little bit how we see it going forward. But as I said, it takes a bit of time before the cost reductions start kicking through into the numbers. So that's why we stay on this, sort of say, view upon the second half for the year.
Daniel Morris: Thanks, Sébastien. The next question is going to come from Jakob Bluestone at BNP Paribas.
Jakob Bluestone: Great. I was just wondering if you could just expand on any tariff-related effects during the quarter. You previously guided for 100- basis-point margin hit. Was that what actually happened? I didn't see a number. Were there any pull-ins? And I guess if you can give any commentary on what your expectation is for tariff-related effects in Q3 are.
Lars Sandstrom: Yes. When it comes to tariffs, starting with the pull-ins, as you remember, we had a bit of impact in Q1 with some pull-ins and impacts on the product mix supporting the margin in Q1 there. This quarter has been more normal, you can say. And as for the impact, we guided around 1 percentage point. We came out around this 1 percentage point a little a bit lower here in the quarter, and that is we expect similar levels going forward, given what we know today. And as you know, there are quite some messaging around the tariffs. So we will see. But based on what we know today, this is where we stand.
Daniel Morris: Thanks, Jakob. Next question today is going to come from Fredrik Lithell at Handelsbanken.
Fredrik Lithell: I was wondering if you could sort of describe a little bit more the trends in the North American market. We know since Q3 of 2024 that you started to ramp up with one of your large clients there. And the question is how this sort of project looks and how -- if it's going to sort of ramp down gradually or if it is so that the other big clients in North America are mitigating part of that or something like that. Could you describe that a little bit? Would be interesting.
Lars Sandstrom: All right. I got that one. As you might remember, we started seeing a ramp-up during Q2 last year. And then coming into Q3, it was coming up on a very high speed, so to say, and a high pace. And now coming this year, we are more on a stabilized good level on sales. So the comps will be more difficult coming in, of course, in the second half of the year. But overall, it's quite a good pace. And America -- and North America is not only one customer. There are 3 customers at least. That is important, and they are all showing good investment levels here also going forward. That is what we see. I don't know if you want to add more on the U.S. market?
E. Borje Ekholm: No, I think you summarized it well.
Daniel Morris: Thanks, Fredrik. Next question is going to come from the line of Andrew Gardiner at Citi.
Andrew Michael Gardiner: Another one on the Americas, if I could, just following up from that last answer, Lars. Can you give us a sense as to where you think the customers are in, I think, across all 3 main customers there in terms of the inventory replenishment? You clearly had a significant drawdown impact sort of late '23 through most -- through the first half of '24. Before, as you pointed out, the demand came back in the third quarter. Do you have a sense as to where their inventory levels are at the moment? Is there more to go? Or are we back at a more normal level? And also in terms of the mix within the market, there's been a debate over, I suppose, sort of deployment versus swaps. Are you seeing the beginning of swap activity? Or is that something that we might start to see in future quarters? Just a bit of detail around that would help with the margin outlook.
Lars Sandstrom: All right. Yes. When it comes to inventory levels, I think among the different operators, they are fairly balanced as it looks now. They work a little bit different depending on which one, but based on how they operate, they seem to be fairly balanced. So that's good, you can say. And when it comes to the mix in the revenue base, we will see more of services coming in into -- and rollout activities into the revenue base coming forward here. So that is a bit of a difference that we will see. But as I also have said previously is that we will have -- there can be shifts in the margins between different quarters. But when we look at more the long-term view here, we see rather stable good development here for the -- looking into the full year.
Andrew Michael Gardiner: Understood. I suppose, I mean, as you point out, the mix may be changing a bit, but your gross margin outlook is still steady sort of 3Q from 2Q?
Lars Sandstrom: Yes. That's what we see. And then, of course, there -- we are an industry which is very project based and the product mix has an impact. But given what we see now, this is the guidance we give. And I think that is what we expect.
Daniel Morris: Thanks, Andrew. Next question today is going to come from the line of Andreas Joelsson at DNB Carnegie.
Andreas Joelsson: A little bit more perhaps future-looking question and the comments that you made on 5G stand-alone and the investments you do in AI. Just curious how you see that perhaps impacting your business in terms of product mix. And also given that you have now, as you said, never been in a better position when it comes to gross margin, how do you see this operational leverage going forward if we should see more stand-alone business or more AI-related orders from your customers?
E. Borje Ekholm: If we start on the 5G SA, I think this is an important question, Andreas. And it's actually one of the key promises of 5G. We've been talking about the low latency, the high speed, the higher uplink, et cetera. All of that is, in reality, related to 5G SA. And 5G SA have, so far, had only limited deployments. It's about 1/4 of the operators with any type of 5G SA network. And if you start to look at broad-based rollout, it's really one in the U.S., one in India. Of course, the Chinese, you have a couple of other countries with bigger, but it's, in reality, very limited rollout. It's 2 things that need to happen in the network. One is mid-band coverage, so prepare the radio network with mid-band. As you know, that's still a very low build-out coverage in, for example, Europe. It's probably less than half pop coverage, 90%, 95% in the U.S., China, India. So Europe is clearly behind on that. The second part is you need to upgrade the core. So that's another opportunity. And those 2 things will have to happen to take full advantage of the capabilities of the network. So what we're starting to see, and this is -- it's still, of course, early. But we're starting to see new type of devices coming. Think about the AI glasses. If you're going to have that, you need ultra-low latency. You need guaranteed low latency, and you need a very high uplink performance. So this is starting to drive the interest. We're also seeing a lot of, I call them network slicing opportunities. So for example, police force wants to connect all their police officers and put body cams on all of them. They need actually a 5G slice on the network. And that, we see one of the customers delivering that. We see, for example, for sporting events, selling network slice with guaranteed uplink. And if you go to a concert today, you want to stream the show, you're actually going to run into congestion problems. By buying a network slice, you can actually guarantee that you can upload your video while you're there for example. Consumers are willing to pay for these things, and we start to see them happening. So I'm rather encouraged by the service innovation that's starting to happen on 5G SA. Are we there to point to big revenues for us? No. But we're starting to see that interest, and that's going to drive need for more radio coverage, mid-band and core. Then the AI side, I think this is such a fundamental technology. It attack -- or kind of. We interact with the technology in many different ways. So for example, if we start at the basics, we use AI, of course, as coding buddies, but we're also using it in other parts of internal operations to drive efficiency. We're going to see that happening. It's going to happen increasingly so. We see some benefits now, but that's going to come more. Then it impacts also how the network is actually operated. So think about fully autonomous intent-based networks. They will require AI as a fundamental component. That's one of the reasons why we invested in the AI factory. So by having the compute capability, we can actually now start to develop those type of networks that -- so 5G network and future networks will be so complex, and you will need to be able to create dynamic slices in there. That will require fully autonomous networks. So we're convinced AI will be a fundamental part of that. And lastly, it will be a driver of traffic because the -- today, all focus is on the LLMs and the compute and the data centers. That's all critically important. But another part of the stack is actually that applications, we need to move to the edge. And when the applications move to the edge, they will need connectivity, and they will need wireless connectivity. And that's why we work with a number of the device vendors on how the demands on the network will look going forward. I want to link that also to Aduna and Vonage actually. That's going to be one of the critical applications for Aduna and Vonage. How you actually create that on demand, the network slice, basically an API-based demand, you create a slice for your glasses when you need ultra-low latency, for example. So we see that quality of service also being interesting or increasingly important. That's why we now see the number of operators being signed up in Aduna, and we cover a number of countries around the world, most recent, Japan. So I think we're still very early in AI in -- and how applications are going to start running. But I think that is actually going to be a key driver of our business going forward, both on traffic, on the way we operate networks and the way we run Ericsson.
Andreas Joelsson: A lot to digest.
E. Borje Ekholm: Yes, I'm sorry about that. But it's a very exciting time we're in, I think.
Daniel Morris: Thanks, Andreas. The next question today is going to come from Simon Granath at ABG.
Simon Granath: So now with the U.S. market perhaps normalized and as you highlighted in the report, Dell'Oro estimates suggest overall stable market, I had a question on what other areas you may boost your efforts in order to improve sales. And in particular, I am curious on what you're seeing in defense and 5G for such areas because you do highlight defense in your annual report but has not really talked too much about it recently. So could this be a needle mover? Or what is needed for that to happen? And I think it also makes sense from a market share point of view that entities like NATO is unlikely to choose European operators with nontrusted RAN supplier, so that could perhaps also benefit you. What are you seeing?
E. Borje Ekholm: Yes. I -- to comment on that, we're doing a couple of things. First of all, I think the potential is actually substantial. And the reason for that is, of course, also defense benefits from connecting everything. And 5G is the way to connect all your equipment as well as sensors, et cetera. So I think there is a big opportunity here for 5G technology also in defense. We see that in discussions that we're having with -- in a couple of countries around the world, we launched last year, and I think that's what you referred to, EFTG. It's Ericsson Federal Technology Group (sic) [ Ericsson Federal Technologies Group ] in the U.S. That is a specific entity to work with the Department of Defense in the U.S. Still, the -- I will say the revenues are small on those applications, but I actually think it's a good growth opportunity for us for the future. It's realistic to say that a large part of the increased defense spending in Europe most likely will be allocated to connectivity because that is a critical part of a modern defense force. So I think this is a very good opportunity for Western vendors, like you noted, because I think that, that will be far-fetched to think they will go with high-risk vendors. That's one part of the defense, right? That's a pure defense applications selling to Department of Defense. I think that's an important part. But I would also highlight another area that, I think, has a major opportunity is mission critical. So far, many countries around the world have very old connectivity networks for police officers, first responders in general. We're seeing an increasing interest here in building out that coverage. And we are in big -- in many discussions around the world with countries of building out those type of new mission-critical applications. I think that's going to be a substantial portion. I will say sales cycle there. We may say it's long on the CSPs. But the reality is the mission critical is typically a longer sales cycle. So as we land contracts there, we will, of course, disclose and talk more about it. But I think this is rather a big opportunity. And again, think about the real-time applications, the safety you can provide for firefighters being connected all the time when they're in a building or police officers having real-time connectivity with body cameras on. These are changing the way you operate first responders, and that's the interest we're seeing. So I'm actually -- I think this is a big growth opportunity that will be net additive to the market that we don't have today.
Daniel Morris: Thanks, Simon. Next question is coming from the line of Ulrich Rathe at Bernstein.
Ulrich Rathe: Just come back to Jakob's question on tariffs. I'm interested in learning more about what concrete measures you are doing at the moment in terms of mitigation. Is this essentially sort of low-hanging fruit at this point because the uncertainty is so high and you're not quite sure whether you want to realign your supply chains given the tariff situation hasn't settled yet and you're more or less waiting before you take far-reaching decisions? Or are you already on the drawing board to really realign your supply chain for the kind of tariff changes that we don't know exactly but we know directionally? So I'd just like to know where your state of thinking is, what actions you have already taken or what actions you will soon take.
Lars Sandstrom: Well, I think when it comes to that, as you say, it is very much around the supply chain and the sourcing. And what -- we have not made any firm decisions given the uncertainty in what's actually going to happen. So -- but we are preparing to see how can we move, and that work started already last -- during last year at the end, looking at what opportunities do we have and how can we ramp up and ramp down in different parts of the world where we have production. So that is prepared. And then -- but going into implementation, smaller changes we can do in the current structure. And then if there are investment decisions needed, that we will see depending on what kind of decisions are coming out finally at the end here. So I think that is the balance act that we're working on. So yes, preparing, but not any big investment decisions taken.
E. Borje Ekholm: And I would only add, as you know, we already built a factory in the U.S., came online about 2020. So it's in the making. We kind of saw this coming in during the first Trump administration. So we built that factory, and that's fully operational now, gives us much more flexibility. So we are, in that sense, I think, trying to manage the impact with the manufacturing footprint we have. Anything more, we need to look at how the tariffs eventually will shape up.
Daniel Morris: Thanks, Ulrich. The next question today is going to come from Felix Henriksson at Nordea.
Felix Henriksson: I have a question on your confidence in your ability to gain market share because if we reel a few years back into your latest Capital Markets Day, I think you stated that in Networks, you're targeting to gain 1 percentage point per year of additional market share. And now you're, obviously, with the AT&T deal, taking considerable steps forward in that operation within the North American market range. But looking ahead, what is the region where you have the highest conviction on that Ericsson can gain further market share in the RAN market going forward?
E. Borje Ekholm: Yes. A few years back, we were all talking about high-risk vendors in Europe, right? I think that as it looks right now, that's not an opportunity. I think we need to be honest about that. And that's the way I look at it. So we look at the world, in a way, having a few big home markets, whatever you want to call it, but kind of markets where we really need to be strong. Clearly, the U.S., clearly, India, clearly, Japan, right? Then you can add some more like the U.K., Australia, et cetera. But we are investing quite substantially to make sure that we are in a very strong position in those markets. And that's why you should see the investments in the R&D center in Japan, for example, as a way to create that local presence that allow us to have a stronger market position. That's what we have done in the U.S. We built a manufacturing site there. We established R&D there. We have done in India. As you know, we have manufacturing there. We have our big -- maybe not -- it's the biggest country for us from an employment point of view. It's not the biggest on R&D, but we have a substantial R&D presence. Now we're doing the same thing in Japan. So I'm quite confident we can strengthen our position in those other 2 markets. We're already very strong in North America, but we can do more in India and Japan. We see those as critically important for the long-term success.
Daniel Morris: Thanks, Felix. The next question comes from Sami Sarkamies at Danske Bank.
Sami Sarkamies: Can you elaborate on the strong results at Cloud Software and Services? You had almost 10% EBITA margin in the second quarter. What is a reasonable assumption on the underlying level going forward? And then maybe also if you can update us on the IPR run rate following the Lenovo settlement.
Lars Sandstrom: If I start with the IPR run rate, coming out of the quarter here, we are at SEK 13 billion. So that is where we are on the run rate coming out of the quarter. And then when we come to Cloud Software and Services, as you highlighted there, it is a very strong margin coming out in the second quarter here, supported by IPR and a very good product mix with a high software share. But having said that, it's also the continuous improvement that we have seen for quite some quarters in Cloud Software and Services. So that underlying trend that we have seen, if you go back a couple of quarters, that is what we expect going forward. And aiming at the double-digit EBITA margin here in the midterm, that is still there for sure.
E. Borje Ekholm: I would only add there saying when we put in place the turnaround plan for BCSS, it had a couple of components, right? One was increase the software share, commercial discipline and take costs out. And I would say the combination of those 3, that actually drive the result today. Of course, we got helped in Q2 by the IPR, but you should look at that underlying as kind of the trend is actually continuing. Can I add one thing on the IPR? And we may not talk enough about it. Most of the settlement, it's kind of divided in 2 parts. One is a settlement now and then a future arbitration. So the run rate will be more impacted by the arbitration than by the historic settlement. But where that ends up, we'll have a view, but we'll see where it ends up.
Daniel Morris: Thanks, Sami. That concludes the Q&A session for today. So with that, thanks for joining us, everybody, and thanks for your time today. Thank you.
E. Borje Ekholm: Thanks, everyone.
Lars Sandstrom: Thank you.